Operator: Good evening, ladies and gentlemen. Welcome to the Martinrea International Third Quarter 2024 Results Conference Call. Instructions for submitting questions will be provided to you later on in the call. I would now like to turn the call over to Mr. Robert Wildeboer. Please go ahead, sir.
Robert Wildeboer: Good evening, everyone. Thank you for joining us today. We always look forward to talking with our shareholders. We hope to inform you well and answer questions. We also note that, we have many other stakeholders, including many employees on the call, and our remarks are addressed to them as well as we disseminate our results and commentary through our network. With me tonight are Pat D’Eramo, Martinrea's CEO; our President, Fred Di Tosto; and our new Chief Financial Officer, Peter Cirulis. Today, we will be discussing Martinrea’s results for the quarter ended September 30, 2024. Overall, as you will see, a good quarter. Our operating results met our internal expectations based on the reduced level of production volumes for the quarter. Our free cash flow was strong and our EBITDA was solid, with EBITDA margin up year-over-year. My colleagues will give you more detail. I refer you to our usual disclaimer in our press release and filed documents. First, Pat will make some comments on the business, then Fred on operations, then Peter on the financials, then me on some geopolitical issues, including the implications of the U.S. election as well as capital allocation, and then we'll do Q&A. And now, here's Pat.
Pat D’Eramo: Thanks, Rob. Good evening, everyone. As noted in our press release, we generated an adjusted EBITDA of $154.1 million and an operating income of $65.9 million in the third quarter. Q3 adjusted EBITDA margin came in at 12.5% and operating income margin was 5.3% on production sales that were down about 8% quarter-over-quarter. On a Q3 year-to-date basis, our adjusted operating income margin was 5.9%, well within our 2024 guidance. On the last call, we mentioned that, we expected a return to the historical seasonal pattern in our industry, where sales were stronger in the first half of the year with Q3 being the lowest sales quarter and Q4 being better than Q3. While we saw this play out in the third quarter, we currently see production volumes receding somewhat in the fourth quarter as customers adjust inventory levels before the year end. As such, at this point, we expect Q4 production sales to be lower than Q3, which is atypical from a seasonality perspective. We are seeing what many of you are already aware of via our customers and our data providers such as IHS and Wards. Vehicle inventories have grown at many customers, given affordability challenges and a high interest rate environment coupled with a low in purchases due to some poor OEM product planning. Generally, OEMs have not adjusted selling prices as supply has come back onto the market, which has resulted in higher inventories on several platforms, some of which are big programs for us. This will ultimately adjust and we do expect volumes to improve beginning in Q1. Peter will have more to say on our 2024 outlook during his remarks. While the OEM inventory correction will sort itself out, our view is that, EV volume weakness is likely to persist for longer. What this means is our plans with EV business will likely remain underutilized for a period of time. Now when faced with lower volumes, the typical industry response is to lay-off people to reduce costs and protect margins. Although this makes sense, reducing direct labor doesn't completely offset the pressure on margins, in most cases. So the tendency for a lot of companies is to cut even deeper to make the quarter or the year look more acceptable. In my nearly 40 years in this industry, I've watched the lemmings jump off the cliff time and time again with few exceptions. What I mean by this is, during lower volume periods, our industry tends to cut too deep. This leads to an industry-wide brain drain and when the volumes ramp up, which they inevitably do, sometimes very quickly, the OEMs and supply base miss an opportunity and fumble their way back, while missing out on what could have been a much better situation. Instead, when volumes ramp up, the industry works over time, expedites products, cleans up from potential quality issues and scrap, because it doesn't have enough people or it doesn't have enough of the right people. We end up recruiting skill that we previously laid off or retired early and end up paying more for less experienced people. There are exceptions. One example being Toyota, where I worked for many years. Yes. They have buyouts and they've laid off temporary employees when they absolutely had to, but the rest stay employed. And when volumes turn up, Toyota has historically been ready to capitalize on the opportunity, because they have their people so they can produce. All you need to do is look at the numbers. Of course, this is not Toyota's only advantage, but it's a big one and it demonstrates a commitment to their organization and speak to their focus on success over the long-term, as opposed to short-term results. Lower volumes provide an opportunity to make operating improvements that will benefit the company when volumes ultimately improve. We're not comparing ourselves to Toyota, they're an OEM and we're a Tier 1 that rely as on many different OEM customers. But in this light, we are going to take better advantage of the lower EV volume period. Of course, we'll flex manpower throughout the company and we'll adjust overhead based on our expectation that EVs will continue to experience lower volumes for a period of time, but we will also use the lower volumes as an opportunity to install new innovative machine-learning technology that will give Martinrea a competitive advantage. This unique technology will promote efficiency gains on multiple fronts including safety, speed and quality. It will ultimately reduce the cost of key inputs including labor, consumables, energy, just to name a few. Similarly, we expect to see significant uptime gains in both our major stamping and casting assets. Using our in house resources will allow Martinrea to reap substantial gains in the coming years at a cost that would otherwise be greater and take longer to achieve. But acting now, we can shave a few years off of what would otherwise take five to six years to complete. This new technology is consistent with our Martinrea operating system and continuous improvement mindset. Our commitment to lean will help to increase the speed of adoption of this innovative machine learning stechnology across our operations. We've recently reinforced our advanced manufacturing team. The advanced manufacturing team is responsible for scaling our new machine-learning technology, as well as other innovative technologies, many of which were incubated in our plants across our global operations. We're investing in the future of our business with great people and leading-edge technology. With that, I'd like to thank the entire Martinrea team for their steadfast commitment and for their continually rising to the occasion to take advantage of these great opportunities. Now here's Fred.
Fred Di Tosto: Thanks, Pat. Good evening, everyone. Looking at our operations, we continue to execute well. Our Martinrea Operating System, otherwise known as MOS, continues to bear fruit across the operations with more opportunity in front of us. Ultimately, we are very pleased with how we are managing what is in our control and capitalizing on cost saving opportunities across all our plants around the world. In addition, we continue to make good progress in our commercial negotiations, obtaining compensation from volume shortfalls on EV programs as well as some lingering inflationary costs. These efforts are helping to lessen the impact of the current lower production sales. In North America, our Q3 performance is generally consistent quarter-over-quarter and year-over-year, with the impact of lower production sales and operating income being mostly offset by a higher level of commercial settlements, along with some productivity and efficiency improvements. As Pat alluded to, we are experiencing some additional production volume shortfalls from OEM customers, most notably Stellantis, a big customer of ours, but also some others as they adjust their inventories before the end of the year, more so than they usually would from a seasonality perspective. We've already been impacted by OEM production shutdowns, often with little to no advance warning, which, as you all know, makes it challenging to properly flex costs. The impact is being felt across all powertrain types, meaning, it's not only an EV issue as we had anticipated in our Q2 earnings call. Our operating income in Europe was down in the third quarter, reflecting lower production sales and a lower level of commercial settlements, both quarter-over-quarter and year-over-year. Like North America, we're facing some incremental volume shortfalls in Europe that has carried into the fourth quarter. Likewise, our Rest of the World operations were essentially at breakeven in the third quarter, reflecting lower production sales and a less favorable sales mix. As you know, our Rest of the World segment accounts for a relatively small portion of our overall business. Overall, as we noted, we're happy with how we are executing operationally. Okay, moving on. I'm pleased to announce that, we've been awarded a new business worth $35 million in annualized sales and mature volumes, which includes $30 million in our Lightweight Structures Commercial Group, consisting of various structured components with multiple customers, including International Motors, formerly known as Navistar, BMW and Nissan. And also $5 million in our propulsion systems group with Audi. I'd like to switch gears now and I wanted to take a few minutes to talk about our Global Leadership Conference that we recently held in Huntsville, Ontario, a couple hours north of Toronto. The JLC brought together over 150 of our top leaders across the organization for three days to discuss the company's strategic direction and priorities for the future. It was a great event. We have leaders and attendants from every region that we have a presence in, including Canada, U.S., Mexico, Brazil, Germany, Spain, Slovakia, China and Japan. Leaders left the conference energized and excited about our future, and with clear direction on priorities for 2025 and beyond. While we covered a broad range of topics at the conference, there was a clear emphasis on innovation as well as MOS, our lean management approach. We spent a lot of time talking about the plan of the future. Pat spoke about how we plan to scale machine learning throughout the organization in detail. This is an important initiative to drive innovation, but not the only one. We also talked about other innovations taking place in our internal research and development efforts as well as through our Martinrea Innovation Development Initiative or what we would commonly refer to as MIND. They also held panel discussions, breakout sessions and heard testimonials on how our leaders are implementing MOS initiatives across the company to strengthen our competitive position. A lot of great ideas came out of the breakout exercises, and we are now in the process of executing on a number of these ideas. Overall, we see a lot of opportunity to enhance our margin profile through MOS over time. With that said, I'd like to thank our people for their commitment to the long-term success of the company. We truly value your contribution. Thank you. Now, here's Peter.
Peter Cirulis: Thanks, Fred. Taking a closer look at the results quarter-over-quarter, we generated an adjusted EBITDA of $154 million in the third quarter, down from $166 million in quarter two and adjusted operating income was $65.9 million down from the $81.6 million that we had generated in Q2 on production sales that were down about 8%. Tooling sales increased by more than 80% quarter-over-quarter, reflecting some quarterly variability, which is not uncommon. On a year-to-date basis, tooling sales continue to trend a little over half of their year ago levels, as they've moderated from an elevated level in 2023, in line with our expectations. Adjusted operating income margin came in at 5.3%. This reflects a 16% decremental margin on the lower quarter-over-quarter production sales, which is actually very good considering the production volume picture that both Fred and Pat spoke about earlier. There is also some impact from higher tooling sales, which generally carry low margins. Moving on. Free cash flow before IFRS 16 lease payments came in at $57 million, a strong result and higher than the $51.7 million we generated in quarter two, impacted positively by flows from non cash working capital and lower cash taxes paid. Including lease payments under IFRS 16 accounting, free cash flow was $43.9 million, compared to $38.3 million in quarter two. Net earnings per share would have come in at $0.44 had it not been for an unusually high effective tax rate during the quarter, driven by the rapid depreciation of the Mexican peso against the U.S. dollar, which is the functional currency for our Mexican operations, a solid result. The higher tax rate is primarily a function of a specific tax treatment of foreign currency fluctuations, which only exists under IFRS accounting rules and does not impact cash taxes or cash earnings. This resulted in us reporting an EPS of $0.19 for the third quarter. As you are likely aware, we have substantial operations in Mexico with our Mexican sales accounting for just under 40% of our consolidated sales year-to-date in 2024. In situations where local and functional currencies differ, IFRS accounting rules require us to revalue the tax value of our assets and liabilities from local currency to functional currency at the reporting date, with the related foreign exchange movements impacting the tax expense for the period. As noted, this treatment only exists under IFRS accounting, So our peers that report in U.S. GAAP, for example, are not affected by this issue. It is also very important to note that, these foreign exchange movements from this IFRS requirement are non-cash in nature and tend to balance out over time. The pace and magnitude of the change we have seen in the Mexican peso resulted in an outsized non-cash impact during the quarter, which was recorded as an increase in tax expense, which again will likely reverse at some point down the road as the FX rate moderates. This, along with other foreign exchange related items, resulted in an effective tax rate of approximately 70% for the third quarter. On a year-to-date basis, excluding these foreign exchange items, our effective tax rate would have been approximately 31%. We believe, this is a better indication of what a more normalized tax rate would look like for quarter three, excluding the short-term distortions caused by this IFRS accounting requirement and fluctuating foreign exchange rates. Based on current and constantly moving FX rates, the tax rate is likely to remain elevated in quarter four. Of course, the ultimate impact on EPS in quarter four and beyond will depend on what happens to the exchange rate. But again, this is accounting noise, creating non-cash fluctuations in our effective tax rate, which in turn impacts the EPS calculation by increasing the income tax expense, which lowers the net earnings on an accounting basis only. No cash impact. I refer you to our quarter three MD&A for further clarification. Looking at our performance on a year-over-year basis, third quarter operating income of $65.9 million was down from $83 million in third quarter of last year on production sales that were about 7% lower, representing a very good decremental margin of 21%. Our operating income margin of 5.3% was approximately 70 basis points lower year-over-year. However, our quarter three adjusted EBITDA margin was actually up year-over-year to 12.5% from 11.9% last year. The difference between adjusted EBITDA and operating income margin reflects higher depreciation and amortization expense, largely driven by recent investments for EV platforms, coupled with the lower-than-expected ramp up of their respective production volumes. In summary, the business is generating a healthy level of EBITDA. I refer you to our MD&A for further commentary on year-over-year variances. Turning now to our balance sheet. Net debt, again excluding IFRS 16 lease liabilities, decreased by approximately $32 million quarter-over-quarter to $820 million. This reflects the free cash flow profile for the quarter, as previously outlined and roughly $9.5 million spent repurchasing approximately 826,000 shares for cancellation through our normal course issuer bid. We've mentioned on previous calls that, capital allocation would be balanced between share buybacks and debt reduction. Both are important priorities for us and we have demonstrated disciplined execution here on both fronts in the third quarter. Our net debt-to-adjusted EBITDA ratio ended the period at 1.46x, down from 1.49x at the end of quarter two. Our target leverage ratio is 1.5x or better, so we're there and we are comfortable at or below this level as it allows us to execute on our capital allocation priorities, while maintaining a strong balance sheet. We believe this is a prudent approach, particularly given some uncertainty that we are now beginning to see on the volume front. Rob will comment on this further in his remarks. Turning to our 2024 outlook. We are happy to report that, we are well on track to meet or beat our 2024 free cash flow objectives. We project that, we will come in at the high end of our free cash flow outlook range of between $100 million and $150 million, excluding lease payments or $50 million to $100 million including lease payments and potentially even better, which is a strong result in light of the lower volumes during the second half of this year. This strong free cash flow performance is driven in part by lower CapEx. You will note that, our 2024 outlet calls for CapEx of $340 million and we expect to come in below that. What's important to note is that, this largely represents a true reduction in planned capital spending rather than a deferral of capital into future quarters. We are effectively managing our capital considering the current volume environment including the slower ramp up of EV platforms. As it relates to the adjusted operating income margin outlook, while we saw OEM production plans beginning to moderate somewhat a few months ago, at that time, it was mainly driven by lower-than-anticipated volumes on EV platforms, as well as some seasonality with sales in the second half of the year being lower than the first half, which is the norm in our industry from a historical perspective. We spoke about that on the last call. Despite that softness, we were still on track to meet our 2024 adjusted operating income margin outlook. And as at the end of third quarter, we were still on track to meet our objectives with a year-to-date adjusted operating income margin of 5.9%, comfortably within our guidance range, as Pat mentioned earlier. However, the production volume shortfalls and OEM inventory correction that Pat and Fred spoke to, will continue to impact production sales in the fourth quarter, and as such, we will likely come in at the low end of our 2024 sales outlook of $5 billion to $5.3 billion or potentially a bit below this level depending on how things play out through the remainder of the quarter. And our adjusted operating income margin percentage will also likely fall short of our outlook guidance range of 5.7% to 6.2%. As Fred talked about, we are currently not getting much notice from OEMs on quarter four production call-offs, which makes it challenging to properly flex costs. It is also important to note that, if typical industry seasonality had played out this year, where quarter four volumes tend to be higher than quarter three, we would have comfortably met our 2024 adjusted operating income margin guidance and actually likely come in at the high-end of our range at normal incremental margins. Our reduced sales and adjusted operating income margin outlook is reflective of a Q4 industry volume issue, so we're not alone in facing this headwind. As Pat noted, volumes are expected to improve once OEMs adjust inventory levels. Interest rates, which are coming down both in Canada and the US with further cuts to be expected could also lead to higher sales eventually, once the lower rates start taking hold. Looking out longer-term, we remain excited about the prospects of our business. As Fred noted, we have a tremendous opportunity to scale our MLS initiatives and productivity-enhancing innovations across the organization to enhance our margin profile, returns on invested capital and free cash flow. With that said, I'd like to thank our people for their hard work and perseverance in these interesting times in our industry. I now turn you back over to Rob.
Robert Wildeboer: Thanks, Peter. Our industry is a worldwide one and impacted by geopolitics, economics and significant events like the U.S. election results. Our industry challenges today are based in part on some of these realities and policies. For example, the volume challenges we are seeing in the back half of 2024 discussed by my colleagues are largely the result of EV mandate policies and certain other policy choices, inflation and higher interest rates. Before I talk about the election result, let me address briefly the geopolitical issues of China on our industry. To me, there is a broad consensus in Washington, but also in Canada and Mexico to some extent that our industry has to re-shore or near-shore key parts of our industry and manufacturing in general. We see that and experience that. Suffice it to say that, Martinrea is a beneficiary of near shoring, especially given our very strong North American footprint, but our significant presence throughout the region. We also have a significant presence in different parts of Europe, although our business there is much smaller than our North American footprint. So when we see tariffs against goods coming from China as announced in U.S. and Canada, in our space this does not hurt us and it can help us. Our products are local content. These issues exist regardless of who controls the White House or Congress. So many have asked us about the impact of the U.S. elections with the speculation of USMCA renegotiation, tariffs versus China and maybe everyone else, EV mandates and so forth. Note that, we have been here before in a sense. As Santayana once said, those who forget the past are condemned to repeat it. Well, we won't forget. I'll start with this comment. In 2016, on the day Donald Trump was elected as President of the United States, we released our Q3 numbers, record results. Our shares went down 15% or so. The market reacted to the President elect's threat to tear up NAFTA. Over those four years, we worked through trade issues, signed the USMCA that was proclaimed as the greatest trade deal in history, saw higher tariffs and grew our business and profits. By the time of the pandemic, our share price more than doubled. During the pandemic, our share price initially went down, but eventually returned to pre-pandemic levels by the end of 2020. That presidency was good for our industry and our company. Since that time, we have seen EV mandates, high inflation, higher interest rates and an industry that has seen many challenges and lower valuations, including at present in the back half of 2024. Part of that has to do with government policy and geopolitics. It's not the market. We think there's demand there. People need vehicles, a lot of them. The average age of a vehicle is as high, as it's ever been. So last Tuesday, we had an election. Interestingly, the day after the U.S. election this time, our share price increased, so did the share prices of most of our peers and customers. So, as we look forward, we believe that, there are positives for our industry, especially in North America. We expect the economy in the U.S. to be strong, which is very important for us as most of the vehicles made here are sold in the U.S. We expect that the USMCA will be renegotiated. The negotiation process may not be pretty, but the focus will be on higher local content, not lower. And so far as the USMCA remains in place with all three countries, this is good for us and North American suppliers. We believe that, tariffs and trade policy will be focused against China, as it kind of is today, but Chinese OEM and parts makers will be targeted in terms of building subsidized plants in North America. We believe a regulatory environment that does not mandate a certain percentage of EV sales or production by requiring OEMs to make vehicles that customers don't want to buy is better for us. Let the consumer decide what to buy. Of course, there are no guarantees as politics, trade policy and economics are often a moving target, but we are positive. We've been there, done that and it worked out for us just fine. We see good years ahead, once we get through some of the challenges Pat, Fred and Peter talked about, with EV rollout and higher inventories. A final brief note related to capital allocation. Our approach is described in a recently updated investor note on our website. In Q3, we generated approximately $132 million in cash from operations. Capital expenditures were about $81 million, as we continued to invest in support of new business wins and incremental equipment needs. Next, we paid our usual quarterly dividend to our shareholders, approximately $3.7 million or approximately $15 million on an annualized basis. As Peter noted, we purchased approximately 826,000 shares for cancellation under our normal core sister bid. Total cash spent was approximately $9.5 million. We intend to continue to buy back some stock at these levels, but we will balance this with our goal of paying down some more debt. Our net debt was reduced by $32 million in the quarter. In the past 1.5 years, since our net debt hit an all time high of $956 million in Q1 of 2023, we have paid down $136 million of net debt. We bought back 6.5 million common shares or 8% of our outstanding shares, and we've reduced our net debt to adjusted EBITDA ratio from 1.9x to 1.46x. I note that our net debt to adjusted EBITDA ratio was 3.3x in Q1 2022. So we've made good progress on net debt reduction and buybacks. I also want to note that this gives us some dry powder to make key investments and acquisitions where appropriate. In that regard, we are pleased to announce that, subsequent to the third quarter, we reached an agreement to purchase the assets of a Tier 2 European supplier. This company is a long-term partner of Martinrea, and we have agreed to buy the business in approximately two to two-and-a-half years, dealing with estate planning considerations of the seller. We negotiated the transaction over the past several months, looking at a variety of alternative structures and time frames, and have come up with an acceptable deal. We signed both a long-term supply agreement and an acquisition agreement to buy the business. I view this as part of our capital allocation, the purchase of a strategic supplier to both increase our capability and secure more supply, a very good arrangement for both us and our partner. To summarize, we invest in our business, keep our balance sheet strong and return capital to shareholders through dividends and buybacks. In terms of allocating capital, we will consider anything that makes Martinrea better, but not at the expense of our strong financial status. We believe, consistent free cash flow generation is the road to a higher valuation. Finally, a big thank you to our people. Thank you for your dedication every day. Our people are performing very well. Their dedication and ingenuity underpin our numbers. Now it's time for questions. We see we have shareholders, analysts, employees and even some competitors on the phone. So we may have to be a little careful with our answers, but we'll answer what we can. And thank you all for calling.
Operator: Thank you. [Operator Instructions] First question is from David Ocampo from Cormark Securities. Please go ahead.
David Ocampo: Thanks. Good evening, gentlemen. I appreciate the commentary on the margin front as it relates to Q4. And it does seem like you guys have made some pretty good progress in your commercial negotiations throughout the year. Just curious, now that you have some of that behind you, how we should be thinking about the margin improvements, as we head into 2025?
Pat D’Eramo: Yes. It's a good question. Thanks, David. So when we look at the margin profile going forward, let's call it running into the quarter one, quarter two of 2025, I would expect in the range similar to what we have here experienced in the first part of this year, that would be the expectation. As you've heard, the quarter four looks a little bit lower than what we've anticipated at the end of our quarter two call. So there is likely to be some decremental margins that are a little bit lower. I should say, higher, I guess, decremental margins higher than what we've reported here today going Q2 to Q3. But you would expect that going into next year, they would begin to normalize as the volumes comes back.
Robert Wildeboer: Next year should be better than the second half of this year.
David Ocampo: Got it. And then Pat, I mean, you guys have always secured new business every quarter. And when you look back at the stuff that you've won this year, have you been able to put any safeguards against minimum volumes or inflationary pressures, just given all the negotiations that you have done have to deal with your customers over the last year or two?
Pat D’Eramo: So I'm going to make sure I understand the question correctly. Can you repeat it one more time?
David Ocampo: Yes. Have you been able to put any safeguards against minimum volumes or inflationary items? Just on the new contracts that you guys have been signing.
Pat D’Eramo: Yes. So certainly, on some EV products, we've had what we call complex contracts or we'll have capital being paid on the front-end much heavier than on the back-end, so the recovery is quicker. So I would say, compared to a traditional contract that we would have on an ICE vehicle, much different in many cases. But it depends on the product. We look at the product, we think that the product is going to sell to the right price range, coming from the right OEM. That contract might be a little more normal than one that we think is a little higher risk or is in a certain class of car that may or may not sell as well. So not all the same, but in general, there is more protection on the EV side than there would typically be on the ICE side.
Robert Wildeboer: I think we've always learned a lot in the last few years as we've been dealing with these commercial negotiations and not just about the entire supply base. And we're obviously bringing all that to bear as we go into market, coal, win the business and so forth. As Pat noted, we'll be selective where there's high risk. We'll push on some of these points and try to gain some more protection contracts. In some of the cases, we may not, depending on the product and what we see the outlook looking like.
Peter Cirulis: And we've had some success with what we call banded pricing. So as volumes fluctuate or go down, for example, the price would be, let's say, put into the contract at a higher price as it falls below certain volume thresholds on the downside.
Robert Wildeboer: But I think it's a good question because it's got to be an acknowledgment that it's uncertain times and there's got to be some change in the way these contracts are structured going forward. Generally speaking, we're pretty happy with the way we've managed a good portion of the EV contracts.
Pat D’Eramo: So, the general answer is yes.
David Ocampo: I appreciate the details there, though. Look, you guys have gone through a period of investment. A lot of that has gone into supporting new business on electric vehicles. I read Neil's letter, ROIC is still running in the 11% range that's up from pandemic levels, but still well below the 15% you guys achieved in pre-COVID. If you guys just look exclusively at your ICE business lines, are you guys back at that 15% so all the weakness that we're seeing in that ROIC print is from EV?
Peter Cirulis: Good question.
Robert Wildeboer: Yes. I'm the only one to answer it.
Peter Cirulis: Well, I would say that, we've been consistent. The real issue here is the EV production not meeting what customers anticipated or governments anticipated. And when that happens, you're not earning, what you normally would if you're running at full capacity. Our ICE programs are -- much are running at a higher level of capacity. So I'd say at least directionally, the answer would be yes. Our ROIC on...
Pat D’Eramo: I think it's safe to say we're doing better on the ICE platform currently in EU platform.
Peter Cirulis: The other thing that's kind of attractive despite the EV volumes going down, we are seeing some programs getting extended. And that allows us to take advantage of some things and even correct some of our material gaps that were created during the pandemic. So we may see more advantage from that over time as well, just depending on when the EV volumes actually start to climb.
Operator: [Operator Instructions] Our next question is from Michael Glen from Raymond James. Please go ahead.
Michael Glen: Hi. Good evening. Rob, I guess I just am curious. When I listen to you speak about North America versus Europe, it seems like the setup for North America over the next few years is much more favorable than how we should think about Europe. And the headline you see out of Europe seem to be more negative than what you read out of North America with regard to EV mandates and things like tariffs. So I'm just curious, like, why allocate more M&A capital to Europe versus North America right now?
Pat D’Eramo: We will talk on slides to give you some sense here.
Robert Wildeboer: It's a specific technology. I don't want to get into where we use it and that type of thing at this point of view, but it's the producer supplier that we would be integrating. Makes a unique product. It ships very well. So the fact that it's distant isn't critical. But they're very good at what they do. I'd say, superior quality delivery generally is very good, and it's a product that our customers are very happy with. So it's strategic in that nature. There are some other advantages. As we talk more about it in the future, you'll understand, But I don't want to get in that level of detail just yet.
Pat D’Eramo: And just the other thing to point out, this is not a big transaction for us. It's a relatively small business. Paul, I mean, and the supplier's supply is just not just in Europe, because so it's a source of supply also in the rest of the world, which -- so it's not just a transaction and it's a good one from that. In the context of the broader discussion on USMCA and EV mandates and stuff like that, I think I'll kind of sit with the commentary that I made. We're going to be working through it. I think you're going to see obviously EV mandates go away in the United States, at least the President elected has said that and since the election, he has certainly continued to say that. I think if the EV mandates go away in the United States, you'll see Canada follow. Finance Minister Freeland or Deputy Prime Minister Freeland said that last Friday. I think Europe is struggling with similar issues and particularly in Germany, where you just had the government fall over dispute related among other things to some of the policies that we have in place. But as my colleagues indicated, the ICE vehicles are still selling, and as we sort through different things, people need our products and ultimately we will be okay. We think over the next five years, we talk about North America because it's 75% of our product, but about 20% of our revenues are in Europe, and we think Europe's on the upswing over the next five years, too.
Peter Cirulis: I mean you can argue this is an investment in our North American operation, because the majority of the product actually ends up in North America.
Pat D’Eramo: 95% of it comes to North America.
Robert Wildeboer: I would say, Michael, it's a special case as we pointed out. Generally speaking, the European region is not our first priority when it comes to M&A activity.
Pat D’Eramo: But there's a lot of stuff available. A lot of stuff available. Without getting into too much more detail, there are jurisdictions in in Europe that are very competitive, and I would say this is one of them.
Michael Glen: Just coming off the conference call from one of your peers, their commentary indicated that there is a tremendous amount of rebid or work opportunities coming available from some distressed suppliers out there. Are you seeing -- is that consistent with what you're seeing in the market right now?
Pat D’Eramo: Yes. We are seeing some of that, and we also -- it's not always distressed suppliers necessarily that we're seeing work become available. I think sometimes some suppliers get an arm wrestling matches with the customer and the customer starts looking around, too. So it's a combination of both, but definitely it's out there.
Robert Wildeboer: Yes. It's an interesting dynamic, and it goes back to the discussions about commercial contracts and so forth. But the entire supply base is dealing with similar issues in terms of arm wrestling with customers. The supply base has essentially said, look, particularly for our EVs, we want volume guarantees or we want capital upfront and that type of thing. And that's certainly something that's consistent. So there may be stuff on rebid, but to a certain extent, that's just the dynamic of the industry. At the same time, there is a lot of distress in the industry. People that have not worked hard to protect their contracts have been hurt financially. At the same time, a number of people that have almost over levered in the EV space with capital are sitting there with half empty plants, a lot of half empty plants. Needless to say, there's still a financial obligations and so forth as well. That means that, the supplier that is lean and has capacity and is aggressive can help out customers in the right places. So we're going to see a curve of that as well, I think.
Peter Cirulis: Rob, if you allow me, the answer this.
Robert Wildeboer: Tes. Don't forget, the one thing I want to remind people. In the last 20, 23 years, whenever the industry has challenges, we find opportunities and we have found opportunities. We did that in the early 2000s. We did it after 2008. We did it even in the last five years with some smaller stuff, some takeover work and the purchase of the assets from Metalsa in early 2020, that was kind of a distressed asset purchase as well.
Michael Glen: Rob, maybe just or anybody just to push a little bit more on the trade aspect of it. Can you just speak to Mexico in particular? I think Doug Ford was out this morning talking about maybe just setting up a Canada U.S. free trade agreement, if Mexico doesn't move ahead with some of the consistent policy. Can you speak to how important Mexico is right now into the supply base, and if that would indeed be disruptive if some action was taken on Mexico?
Robert Wildeboer: [Foreign Language] There is no question that what Doug is saying is, I think, correct. I didn't put words in his mouth, but in essence the discussion and it's come from the Trump camp, but Robert Lighthizer has been clear on this and he was the trade negotiator for the U.S. In the USMCA, we worked with him. We also worked with Chrystia Freeland and her team in Canada and the Mexicans as well. We were a big presence in each, so we were involved in all of that. It's been very clear that, listen, we're either with the United States on fundamental issues of trade, particularly with China or we're viewed as being outside the camp. And so, the federal government announced their tariffs on Chinese OEMs and also aluminum and steel actually in our plant. We believe that, we have to be aligned with the United States from a trade perspective in North America in order to support and enhance the USMCA. Canada has gotten on board. Of course, Mexico has a brand new government. The President was inaugurated just last month and they're sorting through the issues as well. Of course, we have a new President of the United States a week ago or President-elect in the United States. So they're going through those issues as well. We would support the fact that, Mexico should be consistent in its approach to Chinese OEMs and suppliers with the United States and with Canada, because Canada and the U.S. are basically aligned. As someone with a lot of plants in Mexico, we're having lots of discussions with them too. I think they're favorably inclined to follow that. It's going to be rare and so forth, but it's in my view with a Mexican hat on or a Mexican sombrero on, it is certainly in the interest of Mexico along with United States on this. I think it is very important for their industry. Their largest industry by far is the auto industry and they want to take care of their people. They got to be alive.
Operator: There are no further questions registered at this time. So Mr. Wildeboer, I'll return the meeting back over to you. We just have someone that queued up. So we take him?
Robert Wildeboer: Yes. Of course.
Operator: Brian Morrison from TD. Please go ahead.
Brian Morrison: Yes. Sorry. I'm doing the call late, but can you just explain this tax rate and how it works with the depreciation of the Mexican peso and what you think your effective tax rate is going forward? I look back several years and it's kind of a low to mid-twenty tax rate and you're pointing towards an effective tax rate of $0.31 here, but pardon me, 31%.
Robert Wildeboer: Brian, thank you for the question. It's actually a complex matter. Let's try to simplify here a little bit. It's very complex. When the peso depreciates, right, as it has rapidly here, especially between the second and the third quarter, there's an increase in our tax expense. So when the tax expense is increased, it then lowers our net income, thus affecting the earnings per share. On an appreciation, we would have a decrease in net tax expense, improving our net income and subsequently EPS. Now the foreign exchange movement of the pesos, anybody's guess, I guess, going forward here. But if you look at their rate today, it's about 20.4%, 20.45%, so quite elevated. With, let's say, the geopolitics in Mexico right now, the uncertainty around their judicial system, and so forth, it's likely to remain elevated, but as we mentioned, very hard to prognosticate rate. That being said, you should expect that our quarter four effective tax rate will also remain elevated based upon the movement of, say, quarter three U.S. dollar peso to quarter four or current exchange rate.
Brian Morrison: Okay. And then as we look forward to next year, so just straight line at a kind of 30% rate at this point in time then?
Pat D’Eramo: Yes. I think looking forward, that's a more, let's say, realistic rate reflective of our business and operations. Yes, Brian.
Robert Wildeboer: Okay. I don't want to talk about that. Brian, just to note, these fluctuate, they're non-cash and they tend to balance out over time, right? What I like to characterize is accounting noise that really has no substance to it.
Brian Morrison: Yes. I understand that. Thank you. I guess and I don't really want to talk about taxes. Can you just maybe elaborate on this? And I don't know if you did during the script, but certainly it was squeezed in, at the end. What is this acquisition that you've done in terms of content? And in terms of the magnitude of the acquisition, how big is it?
Robert Wildeboer: Yes. It's a small acquisition. It's a now a Tier 2, so we're basically vertically integrating it. It is 95% of the product, which is product that's high density and packing, comes to North America. So it's a unique product. We were talking about a little earlier of high-quality product that make good sense to make it part of our product offering inside. It's about a two year process in order to complete the purchase.
Peter Cirulis: Yes. It's important to know that, this thing is a ways out. It won't close for another two to two-and-a-half years just for estate planning purposes on the seller side.
Pat D’Eramo: But it is, in our view, the use of capital allocation. So the context we talk about is we invest in our business first. So we secured a supplier, also put a certain amount on CapEx. We paid our dividend. We bought back some shares. We paid down some cash.
Robert Wildeboer: The other piece you missed is it's in a very competitive region in Europe. So we see some advantages in that, but we'll talk to as we get closer to the process.
Brian Morrison: And then my last question. I think if I understood correctly, you said in the first half of 2025, you expect your margins to be similar to the first half of '24. Is that correct?
Robert Wildeboer: Yes. We said better than the second half.
Pat D’Eramo: Better than the second half, yes. I guess you can kind of get there.
Brian Morrison: When we're looking at 2025, we should be thinking sort of similar rate or low end of what you had through this year?
Peter Cirulis: If you look at our year-to-date margins as we go into '25, something similar, just depends on where the volumes go.
Robert Wildeboer: Yes. We're going to see how this year ends up, but we'll have that discussion about next year on our call.
Pat D’Eramo: We can provide you more guidance on 25% in March.
Robert Wildeboer: That's what we do. To be clear, the exact statement we said is look, the second half of this year, 2024, as anticipated, we said back in March, would not be as good from a revenue or margin perspective as the first half of the year, and that's proving to be correct. We think, we'll see a rebound next year from the second half of this year and then we'll be more specific what our guidance range is in March.
Brian Morrison: And is that simply a function of volumes, or is it you also have a lot of efficiencies and maybe commercial recoveries? Like is it -- what are the drivers of that?
Robert Wildeboer: Volume has been the primary driver. We talked about our MOS activities, that's going to be a contributor as well. So we're looking at opportunities here to reduce our cost and so forth, even to kind of address some of these EV shortfalls as well. Commercially, the activity can -- I was talking on the downside. That's a big the detrimental to list volume.
Robert Wildeboer: So it's a combination of all those things. Yes. And there may be some takeover opportunities next year, too, as another company on a call recently this evening said.
Brian Morrison: Yes, understood. Thanks very much, gentlemen.
Operator: So there are no further questions registered at this time. Mr. Robert Wildeboer, I'll return the meeting back over to you.
Robert Wildeboer: Thank you very much for the call and the questions. If any of you have further questions or would like to discuss any issues concerning Martinrea, please feel free to contact Neil or any of us, at the number in the press release. Thank you. Have a great evening.
Operator: Thank you. Your conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.